Operator: Hello and welcome to Centamin Second Quarter 2015 Results Call. Throughout this call all participants will be in listen-only mode. And afterwards there will be a question-and-answer session. And just to remind you this conference call is being recorded. Today I am pleased to present Andy Davidson. Andrew Pardey and Pierre Louw, Andy please begin.
Andy Davidson: Thanks very much and hello everyone. Good morning and thanks for joining us on this season’s call. I’ll handover straightaway to Andrew who will give a brief review before we have the Q&A. Just before I turn it over to Andrew overseas at the moment quite a few sign issues this morning with its line, so if he drops I will buzz him but over to you, Andrew.
Andrew Pardey: Okay. Thank you, Andy. Good morning everyone and thank you for joining us on this call. Our Q2 gold production was up 33% on the same period last year to just under 108,000 ounces and in line with our Q1 production. This is better than expected and we are pleased to address the market in early July as we’ve updated full year production guidance of 430,000 ounces to 440,000 ounces compared with our previous guidance of 420,000 ounces. The high rates of quarterly production were driven by record throughput at the processing plant which was 7% above the nameplate capacity of 10 million tonne per annum capacity. We continue to expect the throughput to reach an annualized 11 million tonne per annum rate in Q4 this year, with the potential for further increments of improvement in 2016 as we continue to optimize expanded plant. Plant recovery was also a highlight for us it came in at 90% compared to 88% in the previous quarter and we are now working on bedding down the improvements we’ve seen during the quarter from both the ultra fine grinding circuit and the new carbon regeneration kiln. Underground mining rates and grades were slightly above our forecast rate of 1 million tonnes per annum at 6 grams per tonne and the focus for the operation remains to consistently deliver ore at an average grade of at least 6 grams per tonne. Open pit material movement was down slightly on the previous quarter but it subsequently improved and mining remains on track towards the sustained delivery of reserve average grades from the fourth quarter onwards this year, production rates are expected to pick up again and in the second half of the year to reaching stabilized at 450,000 to 500,000 ounce per annum range. We have continued with positive results in the underground drilling program and some of these are highlighted in the release. We’re anticipating releasing our results and reserve update for Sukari in the near future. Regarding the financial results the cash cost of production of $706 per ounce was $11 per ounce like Q1 principally due to a reduction in the fuel price and this was offset by a slight increase in open pit mining and processing cost. With grade driven production increases expected in second half and assuming fuel prices remain at current levels we’re well placed to come in below $700 per ounce at full year guidance. All-in sustaining costs were $853 an ounce well below the $950 ounce guidance for the second quarter partly due to the lower fuel price but also as certain sustaining capital items have continued to be deferred to the second half of the year. The high production rates mean that we except to come in below $950 per ounce full year guidance for all-in sustaining cost. Centamin continued to generate strong cash flows under the weak gold price with EBITDA of $37 million and a period end position of $207 million of cash, bullion, gold receivables and liquid financial assets bring up $17million net of $23.7 million payment in relation to the final dividend for 2014. The cash build has supported our dividend policy and the Board is pleased to announce today an increased interim dividend payment of $0.97 up from $0.87 in 2014. So in summary Centamin remains in a strong position, to deliver cash flow, sustained and meaningful dividend and to self-fund the exploration led growth strategy even under the currently depressed gold price environment. We expect this to be further enhanced in the coming quarters with continued grade and productivity driven increases in production at Sukari. Okay, that is the summary of Q2, I’ll now hand back to Andy. Thank you.
Andy Davidson: Thanks Andrew and back to the operator for any questions please.
Operator: Thank you. [Operator Instructions] Our first question is from the line of James Beale at Bank of America Merrill Lynch. Please go ahead. Your line is open.
James Beale: Just in terms of looking at the gold price, if we’re going to see gold fall to $1,000 an ounce, would there be any changes in terms of your mind plan or longer term plan? And secondly on the underground grades are run rating at 6.3 in 2Q, with grades being maintained at six times for the full year, can we expect that to fall in the second half?
Andy Davidson: I think that’s for you Andrew.
Andrew Pardey: Okay, well the first thing with Sukari, everyone has got to -- and Sukari has a long mine life in excess of 20 million from the open pit so with this period of low gold prices and certainly from the pit there will no changes in what we’re doing because we have the long mine life at Sukari. As far as the underground grade goes, grade was slightly up from 6.3 compared to 6.01 and at the same day we forecast the second half of the year of the underground grades to come in at around 6.5 grams per tonne.
Operator: [Operator Instructions] We go over to the line of Richard Broke. Please go ahead. Your line is open.
Unidentified Analyst: Just a quick a comment and to ask your future developments on the exploration in Ethiopia I noticed that you did above 1,500 meters of drilling at Una Deriam, are you planning on ramping this up in the future and if so, to what level?
Andy Davidson: Sorry, Richard. Just before I hand over to Andrew to answer the question, could you just clarify which institution your with, if any?
Unidentified Analyst: I am a private investor.
Andy Davidson: Okay. Thank you. Andrew, maybe you answer that one please.
Unidentified Analyst: The question that I’m actually asking to do the Ethiopian exploration that you’re doing, currently I noticed that in Una Deriam that you did a drill program of about 1,500 meters recently in Q2 and you got some relatively good results I noticed 18 meters of 0.93 and 8 meters at 183 on Ethiopia which is down…
Andy Davidson: Sorry, I understood the gist of your question. I was just going to hand over to Andrew but before may be he answers I’ll just say that the main focus of our exploration efforts at the moment are primarily on the underground at Sukari that’s where we’re getting our high grade results and that’s where we’re facing the efforts at Sukari and -- I am sorry the Sukari it’s mainly West Africa for us. We have a large exploration program in Burkina Faso and Côte d'Ivoire spending a significant amount of money there. They have a relatively lower spend in the Ethiopia because it’s early stage -- they are early stage projects they are at a very early stage of development for Una Deriam and licensing in the west of the country. So it’s relatively low spend in some of the results that we’ve reported reverently are encouraging but we haven’t seen anything yet to the significant ramp up in a exploration spend on either projects. Got anything we’ll add to that Andrew?
Andrew Pardey: No, that’s really it I mean the drilling Ethiopia it’s just shifting the continuity of mineralization along a broad zone of alteration and it is very early stage.
Operator: [Operator Instructions] Gentlemen at this stage there are no further questions in the queue. I’ll turn the conference call back to you.
Andrew Pardey: Okay. Thank you very much. As there are no further questions I will just wrap up and thanks to everyone again for joining us this morning. We look forward to speak to you all again next time. Thank you.
Operator: This now concludes the call. Thank you very much for attending. You may now disconnect your lines.